Operator: Thank you for standing by, and welcome to the Garmin Ltd. First Quarter 2021 Earnings Call. [Operator Instructions]. I would now like to hand the call over to Teri Seck, Investor Relations. Please go ahead.
Teri Seck: Good morning, everyone. We would like to welcome you to Garmin Ltd's First Quarter 2021 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the internet at www.garmin.com/docs. An archive of the webcast and related transcript will also be available on our website.  This earning call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial condition, revenues, earnings, gross margins, operating margins, future dividends, market shares, product introduction, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed on this earnings call may have occurred. Actual results could differ materially as a result of various factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with the Securities and Exchange Commission. In particular, there's significant uncertainty about the duration and impact of the COVID-19 pandemic. This means that results could change at anytime, and any statement about the impact of COVID-19 on the company's business results and outlook is the best estimate based on the information available as of today's date.  Presenting on behalf of Garmin Ltd. this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I'd like to turn the call over to Cliff Pemble.
Cliff Pemble: Thank you, Teri, and good morning, everyone. As announced earlier today, 2021 began on a strong note as momentum from 2020 continued into the new year. Consolidated revenue came in at nearly $1.1 billion, up 25% over the prior year with strong double-digit growth in 4 of our 5 business segments. Gross margin was strong at 59.8%. Operating margin increased to 23.3% and operating income grew 41% to $250 million. This resulted in GAAP EPS of $1.14. Pro forma EPS was $1.18, up 30% over the prior year.  Before turning the call over to Doug, I'll provide highlights by segment and a summary of what we see ahead. Starting with fitness, revenue increased 38% to $308 million, driven by strong demand for cycling products and advanced wearables. Gross and operating margins were 56% and 24%, respectively. Operating income more than doubled over the prior year to $74 million. During the quarter, we introduced Lily, a fashion-first smart watch with exceptional features designed specifically for women. In the cycling market, we launched the Rally power meters, including a version for off-road cycling, which is a new product category for us.  Moving to outdoor. Revenue increased 46% to $256 million with growth across all product categories led by strong demand for adventure watches. The outdoor segment generated strong growth and operating margins of 67% and 36%, respectively. Operating income nearly doubled over the prior year to $93 million. During the quarter, we launched Enduro, a new adventure watch category built specifically for athletes who demand exceptional battery life for endurance racing. We also expanded the Approach family of golf tracking devices with the launch of 3 new products for golfers of every skill level. Looking next at aviation. Revenue decreased 8% to $174 million, driven primarily by reduced contributions from ADS-B products that remained strong in the first quarter of 2020. Excluding the impact from ADS-B, revenue was relatively flat to last year, which is an encouraging signal that the underlying market has stabilized. Gross and operating margins were 73% and 26%, respectively.  During the quarter, Autoland was selected as 1 of 7 finalists for the Robert J. Collier Trophy. The Collier Trophy is a prestigious award that recognizes significant achievements in the areas of aeronautics and astronautics. In addition, we recently added several aircraft models to the list of GFC500 and 600 autopilot certifications, which expands the addressable market for these advanced flight control systems.  Looking next at the Marine Segment. Revenue increased 28% to $209 million. Gross and operating margins were 58% and 29%, respectively. Operating income increased 53% over the prior year to $62 million. During the quarter, we experienced strong demand for chartplotters and Panoptix LiveScope sonars from new boat manufacturers and users preparing their boats for the upcoming season on the water.  Looking finally at auto. Revenue increased 18% to $124 million, and we experienced growth in both OEM and consumer categories. Gross margin was 39% and, and we recorded an operating loss of $24 million, driven by ongoing investments in OEM programs for next-generation vehicles. During the quarter, we entered the powersports market with a full complement of products designed to help recreational off-roaders find their way, stay connected with other riders, control electrical systems on the vehicle and monitor their surroundings. In summary, Q1 was another record-breaking quarter. We're very pleased with what we've accomplished so far this year, and we continue to see strong demand for our products. Some of you are wondering how this strong performance affects our outlook for the rest of the year. We believe there are 2 very important factors to consider. First, much of the year remains ahead of us. Q1 is typically the lowest seasonal quarter of our financial year. It's difficult to predict what the remainder of the year will look like based on 1 period, especially considering the pandemic-driven dynamics of the past year. Second, the electronics industry is experiencing high demand for and short supply of certain electrical components. So far, the impact on us has been minimal due to our inventory strategy and vertically integrated business model. However, the situation is very dynamic, complex and long term in nature and, thus, difficult to predict how it will evolve. With these things in mind, we're maintaining the guidance issued on February 17, 2021. So that concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Doug Boessen: Thanks, Cliff. Good morning, everyone. I'm reviewing our first quarter financial results and make comments on the balance sheet, cash flow statement and taxes. We posted revenue of $1.072 billion in the first quarter, representing 25% increase year-over-year. Gross margin was 59.8%, a 60 basis point increase. Operating expense as a percentage of sales was 36.5%, a 200 basis point decrease. Operating income was $250 million, 41% increase. Operating margin was 23.3%, 260 basis point increase. Our GAAP EPS was $1.14. Pro forma EPS was $1.18.  Next with our first quarter revenue by segment and geography. For the first quarter, we achieved double-digit growth in 4 of our 5 segments led by the outdoor segment with strong growth of 46% followed by the segment with 38% growth and the marine segment with 28% growth. By geography, we achieved double-digit growth in all 3 segments and by strong growth of 33% EMEA and 31% growth in APAC. Americas grew 18%, is more heavily impacted by decline in aviation. Excluding aviation, Americas' growth was more in line with the other regions. Next, operating expenses. First quarter operating expenses increased by $62 million or 19%. Research and development increased $38 million year-over-year, primarily due to engineering personnel costs across all of our segments, other expenses related to Auto OEM Programs. Our advertising expense increased approximately $4 million due to higher spend in the outdoor and fitness segments. SG&A increased $20 million compared to prior year quarter, a decrease in percentage of sales to 14.7%, a 30 basis point decrease compared to the prior year. Increase in SG&A was primarily due to increase in personnel-related expenses, information technology costs.  A few highlights on the balance sheet, cash flow statement and taxes. We ended the quarter with cash, marketable securities approximately $3.2 billion. Accounts receivable decreased sequentially to $558 million from a seasonally strong fourth quarter. Inventory balance increased year-over-year to $838 million. In the first quarter 2021, we generated free cash flow of $331 million, $147 million increase the prior quarter. And our first quarter 2021 reported an effective tax rate of 12.2% compared to 9.3% in the prior year quarter. The increase in effective tax rate is primarily due to larger amount of reserve releases in the prior year. This concludes our formal remarks. Michelle, can you please open the line for Q&A?
Operator: [Operator Instructions]. Our first question comes from Erik Woodring with Morgan Stanley.
Erik Woodring: My first question is just on the component side. I'd just like to dig in there a little bit more to understand, what are the components that are potentially most impacting Garmin as a whole? And then kind of secondary to that, how are component shortages specifically on the auto side impacting you or your partners' ability to meet demand? And then I have a follow-up.
Cliff Pemble: Okay. Yes, I think as you have read, the situation is very widespread. So there's a lot of impact in some of these major fabs that have had some issues recently certainly impact a broad range of components. So there isn't any given set of components or any one component that I could highlight. It is just a general pressure across the industry. In terms of specifically for auto, we've been very careful with our inventory and supply chain management in auto. And as you know, we've often talked about our strategy of using inventory as a business tool, and so that's helped us. We've not had any major issues with supplying our customers, and I really can't speak to our competitors, but we've been doing everything we can to keep our customers' lines going.
Erik Woodring: Okay. That's super helpful. And then for my follow-up, for the first time in company history, you have over $3 billion of net cash. I know you historically run with a buffer to protect yourselves in times of financial hardship like the pandemic or to maintain your component safety stock. But is there a level of cash where you guys say to yourselves, we need to start putting more of this to work via x, y or z? And if there is, what would be the priorities in terms of reinvesting that cash? Yes.
Cliff Pemble: Yes. So we don't have a specific number that we target for cash. As you can see, our business is growing at a very nice rate. So as the business grows and gets more complex, of course, we feel like cash is a good thing. Our priorities on cash have remained what they've been for a long time. We want to be a reliable payer of an attractive dividend for our investors. We're focused also on acquisitions, reinvesting in the business that way. And then finally, investing in the business and increasing our production capacity, for example, our facilities, our people, all of these things are priorities for the way we use our cash.
Erik Woodring: Super helpful. And maybe if I could just sneak in 1 more. Just curious on your view how you think about kind of normalize the EBIT margins for outdoor and fitness segments as we kind of come out of COVID, demand somewhat normalizes, the retail environment somewhat normalizes, how we should think about that? And that's my last one.
Cliff Pemble: Yes. I think we don't target a specific number around our operating margin for these segments. These are segments that have a lot of specialty products in them. And so consequently, we aim to have higher levels of operating margin in those segments to fund our investments. But in general, we don't necessarily target a number. With the sales increases we've been seeing, of course, we get some leverage out of that. So we're very pleased with our performance. .
Operator: Our next question comes from Nik Todorov with Longbow Research.
Nikolay Todorov: Yes. Cliff, I think your congrats on doing a great job on the inventory and not being impacted on the component side. I guess related to that, I just wonder if you're seeing any impact from freight costs because I know freight costs from -- particularly from Asia to Europe and North America are up substantially. Your results does not suggest so, but I wonder if you're seeing any headwind from higher logistics costs?
Cliff Pemble: Yes. I think freight is definitely higher, and it's not a new situation. Actually, we've been experiencing higher freight costs. Over the past year, a lot of freight providers dialed back on their capacity early in the COVID crisis, and that created some constraints even a year ago. So it's not a new thing. Sea freight has got some additional delays. We're actually using a higher mix of air freight right now to keep our product flowing and we're focused on product availability.
Nikolay Todorov: Okay. Got it. A question on fitness. Your gross margin was exceptionally strong at 56% relative to last couple of years. I think mix is helping you there with cycling being strong right now. But I just wonder if there's anything else that pushes your fitness gross margin higher relative to last 2 years.
Cliff Pemble: Yes. I think definitely product mix, in general, we would say, is helping us in fitness. And on the cost side, we've seen some benefit in terms of our overall cost structure on the product. So in general, we've had very good performance on the margin side in fitness.
Nikolay Todorov: Okay. And last question for Cliff -- for Doug. Very strong first quarter free cash flow numbers, I think a record for the company, $300 million. How do you feel, Doug, about that relative to your full year free cash flow target? Is it still $725 million? And CapEx was kind of low relative to your full year guide of $350 million last quarter. Is that unchanged?
Doug Boessen: Yes. So first, regarding free cash flow, at this point in time, we're maintaining our overall guidance. So that's a number that we feel confident at this point in time. We'll actually update as we progress through the year. Regarding the CapEx, yes, we still feel confident of the amount that we basically gave our guidance for CapEx. We will be ramping up some of those investments that Cliff talked about. And we talked about during our previous call here in the latter part of the year relating to our consumer manufacturing facilities in Taiwan, we expect increased spend in Q2 and rest of the back half. As well as we're renovating our facilities here in Olathe of actually taking some of our previous facilities that were for distribution manufacturing and renovate those for workspace. So those expenses will be ramping up in Q2 and the rest of the year.
Operator: Our next question comes from Paul Chung with JPMorgan.
Paul Chung: So just on aviation, a nice recovery in 1Q, which is now exceeding kind of 1Q '19 revenue levels. But operating margins are rebounding but they still are below the 1Q '19 levels despite kind of higher revenues. Any comments on the dynamics there?
Cliff Pemble: Yes. I think the operating margin in aviation, Paul, is really a function of the lower sales. We're continuing to invest in new program development and technology. So we do have a higher level of R&D spend at this moment. But in general, I think that's really the driver. And as we see the market recover, we should begin to get some leverage out of that again.
Paul Chung: Got you. And then as we kind of move through the year in aviation, given solid 1Q against a pretty tough comp but you have much easier comps ahead for Q2 and beyond, is that 5% target a bit too conservative? I assume some visibility in the segment is slightly higher than your other ones.
Cliff Pemble: Yes. I think as we mentioned, we're not adjusting our numbers right now. It's certainly true that as we go forward, there's is some interesting comparables in our business compared to last year. Aviation was hit harder and longer last year than other segments, but we're starting to see some positive signs. And as we get a clearer picture after the end of Q2, we'll be able to provide more information.
Paul Chung: And then, Doug, another follow-up on free cash flow. Nice harvesting of accounts receivable and nice profit upside. Should we expect AR to be more of a source of funds this year? And how do we think about working cap investments throughout the year?
Doug Boessen: Yes. So yes, our numbers did come in favorable as it relates to AR there, so it's more favorable. So we may get some more a little bit of a headwind against that rest of the year. The situation is that our customers are really demanding our product, and as a result of that, they basically we have certain credit limits. So in certain cases, they may be paying prior to some of their credit terms to stay on those credit limits. But that's a good thing as they continue to see the demand that we're actually funding that as well as to -- working capital, yes, probably looking at inventory. That's an item that we'll probably make some additional investments in and see that to increase the rest of the year also.
Operator: Our next question comes from Will Power with Baird.
William Power: Yes, a couple of questions. Maybe just a quick follow-up in case I've missed it on the supply chain commentary. Any update you can provide just on current channel inventory across key product categories? Just trying to understand the ability to meet near-term demand, given some of the supply chain component questions out there? And then I got an additional question.
Cliff Pemble: Yes. I'd really say a couple of things, Will, on that. But we believe the channel inventory is very lean right now. There's a lot of demand out there for products. And definitely, the supply chain considerations in meeting that demand are more complex when there's increased demand. So that's why we believe that, in general, we see strong demand for the products going forward.
William Power: Okay. All right. And I also want to ask you, I guess, as you look at auto kind of a 2-part question, and you noted that the consumer auto piece grew, and so would love more color there on key drivers. But also just from a broader perspective, love to get your thoughts on the powersport opportunity. I know you've rolled out a couple of initial products. But how are you thinking about the opportunity there near and longer term?
Cliff Pemble: Yes. So we were pleased to see the consumer auto segment grow. The drivers behind that really are the specialty products that we've been investing in over the years, things like truck and RV and cameras. In terms of powersports, that's a perfect complement to what we're doing in the consumer auto business. The powersports market, as you know, has been growing a lot, especially in the pandemic environment. And so there's a lot of interest in products that can help people enjoy that sport and enjoy their vehicles. And so our solution with Tread and the PowerSwitch and also the cameras is a fantastic way for us to enter that market with a really strong offering.
William Power: Any sense for how broad that portfolio could be over time? I mean are these -- is this kind of a starting point? Or are these kind of the key categories?
Cliff Pemble: Yes. I think that it remains to be seen. I would say that there's a lot of opportunity in the power sports market and a lot of products that we can do. And so this really is our approach and our strategy in building the business, which is to find great niche categories that we can innovate in and take a strong market share and be able to build the business that way.
Operator: Our next question comes from Ivan Feinseth with Tigers Financial.
Ivan Feinseth: Congratulations on another great quarter and a great start to the year and making it to Mars.
Cliff Pemble: Thank you.
Ivan Feinseth: So in the power sports area, are you going to -- do you think -- envision yourself starting to work with some of the OEM manufacturers, especially for things like the PowerSwitch?
Cliff Pemble: Yes. I think there's a good level of interest in -- on the OEM side and the products that we're offering. Already ArcGIS has announced our product on some of their vehicles, and we're talking to others as well. But we do feel like we have a compelling offering that is of interest to the market.
Ivan Feinseth: And how was the initial reaction or what was your thoughts on the initial reaction to things like the Tread and the communicator?
Cliff Pemble: I felt it was good. It was encouraging. Clearly, users in that market are watching for the kinds of products that will help them enjoy the sport. And so these are definitely right up their interest alley, if you will, and it leverages all of the strengths that we have across Garmin, including the mapping, the communication and the rugged designs.
Ivan Feinseth: Were there any other areas that surprised you in the quarter?
Cliff Pemble: Well, I think we've kind of highlighted most of those. We continue to be really excited about the growth in marine. There's a lot of demand out there for marine products, and we expect that will continue. Fitness has been fantastic, of course, with cycling and advanced wearables. Lily was a great new product for us as well. And aviation, we're excited to kind of see things stabilize, and we're getting a lot of positive feedback as trade shows and manufacturers and shops installing equipment are all making positive remarks.
Ivan Feinseth: What kind of attendance are you seeing in at the trade shows as look -- we kind of go to this reopening and getting over the pandemic?
Cliff Pemble: Well, it's early days. And actually, we just completed the Sun 'n Fun show in Florida, which was canceled last year, reopened this year. But attendance was actually, I would say, reasonably strong, given the conditions. It was probably what I heard maybe 70%, 80% of what has been in normal years. But what we saw out of that was buyers that were very interested and very serious about equipping their aircraft and interested in what we had to offer.
Operator: Our next question comes from Ben Bollin with Cleveland Research.
Ben Bollin: Two items. The first, I'm interested in how we should think about the investments being made in the auto OEM ramp as you build out facilities and headcount? Any way to think about the linearity of investment expansion and when that starts to normalize based on what your current visibility is? And then I have a follow-up.
Doug Boessen: Yes. Sure. Relating to the investment in OEM, give you kind of perspective for 2021 through relates to the R&D, we would expect to see a similar level of the R&D spend in the remaining quarters of 2021 as we saw in 2000 -- or in Q1 as we continue to ramp up for new programs there. As it relates to the CapEx side of things, the CapEx for the new facility in Europe-related OEM, that's factored into our CapEx budget that we gave you previously. But also, I should say the majority of that CapEx, the number in there is relating to the consumer manufacturing piece in Taiwan as well as the renovation here. And then as it relates to the OEM piece, it's primarily relating to increasing our production lines, get ready for production in the near future.
Ben Bollin: And then, Cliff, more of a, I guess, a big picture question. But when you step back and look at how Garmin has benefited throughout COVID, what are your bigger picture thoughts about how categories or the business as a whole may be impacted as you start to see more reopening? Any of the puts and takes about point-of-sale trajectory, category expansion, just some of the secular drivers and where you think that goes into the future?
Cliff Pemble: Well, it's early days, so probably difficult to quantify. We do believe that the kind of lifestyle changes that we've seen as part of the pandemic are durable because people have made significant investments in themselves, their health, their ability to be outdoors and have recreation. And so that's what we continue to hear from our partners and what we continue to see in the industry.
Operator: Next question comes from Jeffrey Rand with Deutsche Bank.
Jeffrey Rand: Can you talk through some of the puts and takes for operating expenses as we move past the pandemic? I would expect there to be some lower costs related to employee safety, but also probably some increased traveling costs, I guess, some details on how you're thinking about that?
Doug Boessen: Yes. There are some cases, especially when you look at the Q2 over Q2 comparison. Last year, at this time, we did cut back on travel, trade shows, those type of things in there. So I would say, looking at Q2, there will be some increase that we'll spend this year versus last year there, but that's not really the big drivers of our CapEx. The big drivers really are the R&D and such in there that we have going forward.
Jeffrey Rand: Great. And then your marine business continues to do very well. How do you think about trends in the business longer term? And is there any concerns of a pull-in of future purchases as boating was a good socially distant activity during the pandemic?
Cliff Pemble: Yes. I think certainly, that's a possibility. But as I mentioned earlier, we believe that this trend is pretty durable. Our boat building partners, many of them are booked out through the remainder of the year and some are even talking about 2022 now. So there's still significant pent-up demand for boating products and people who want to be out on the water, and we believe that will continue to drive growth in our marine segment.
Operator: [Operator Instructions]. Our next question comes from Derek Soderberg with Colliers Securities.
Derek Soderberg: Cliff, I want to start with you. I'm wondering if you can provide an update on the ADS-B opportunity in Europe. I think it's progressing a bit slower than the U.S., but that mandate was pushed out, I think, almost a year ago. What are you seeing in that market today? Are projects starting to accelerate or still sort of being pushed out? Any thoughts on the ADS-B in Europe and sort of what you're seeing there would be great?
Cliff Pemble: Yes. I think the European mandate has been pushed out probably more than once, and so that probably wasn't a surprise. We are starting to see customers get more interested in that. I think they realize that it won't keep pushing out forever. And so they're looking for a solution, and I think we're well positioned for that. I would say that Europe is probably the next biggest opportunity, obviously, compared to the North American opportunity, although much smaller because the market there is generally 25% to 30% of what the total global market is.
Derek Soderberg: Great. And then as my follow-up, I guess I'm curious as to the employment environment and, I guess, your ability to track new talent, sounds like labor costs might be going up. Is there anything going out there in the labor market that has changed more recently? Or anything you're seeing that's maybe a concern in the labor market?
Cliff Pemble: Yes. I think that labor is an interesting topic. I think for a long time, engineering talent has been in strong demand, and I think it's only gotten stronger in the pandemic as many companies are looking to create new things and new products. So we're operating in a tight environment. That's not generally new, but it does seem to be increasing in this environment for sure. We're focusing on having a great work culture. I think we've got fantastic employees at Garmin. We're really proud of all of them, over 16,000 employees around the world now. And our culture is very unique and the kind of products and markets that we serve are also very unique. They're products and markets of passion where people can actually create things that interest them and not just work on something that someone else tells them to do. So we have some advantages, but obviously, it's still a tight market and we're doing the best we can.
Operator: There are no further questions. I'd like to turn the call back over to Teri Seck for any closing remarks.
Teri Seck: Thanks, everyone, for your time today. Doug and I are available for callbacks and we hope you have a great day. Bye.
Operator: Ladies and gentlemen, this does conclude the conference. You may now disconnect. Everyone, have a great day.